Operator: Greetings, and welcome to the Apple Hospitality REIT Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kelly Clarke, Vice President, Investor Relations. Thank you. You may begin.
Kelly Clarke: Thank you, and good morning. Welcome to Apple Hospitality REIT third quarter 2024 earnings call. Today's call will be based on the earnings release in Form 10-Q, which we distributed and filed yesterday afternoon. Before we begin, please note that today's call may include forward-looking statements as defined by Federal Securities Laws. These forward-looking statements are based on current views and assumptions, and as a result are subject to numerous risks, uncertainties, and the outcome of future events that could cause actual results, performance, or achievements to materially differ from those expressed, projected, or implied. Any such forward-looking statements are qualified by the risk factors described in our filings with the SEC, including in our 2023 Annual Report on Form 10-K, and speak only as of today. The company undertakes no obligation to publicly update or revise any forward-looking statements except as required by law. In addition, non-GAAP measures of performance will be discussed during this call. Reconciliations of those measures to GAAP measures and definitions of certain terms referred to in our remarks are included in yesterday's earnings release and other filings with the SEC. For a copy of the earnings release or additional information about the company, please visit applehospitalityreit.com. This morning, Justin Knight, our Chief Executive Officer, and Liz Perkins, our Chief Financial Officer, will provide an overview of our results for the third quarter of 2024 and an operational outlook for the remainder of the year. Following the overview, we will open the call for Q&A. At this time, it is my pleasure to turn the call over to Justin.
Justin Knight: Good morning, and thank you for joining us today on election day for our third quarter earnings call. Travel trends across our portfolio remained relatively stable during the quarter. This slow, but steady improvement in business transient demand and continue to strengthen leisure travel, we are pleased to report comparable hotels RevPAR growth were approximately 1% as compared to the third quarter of 2023. RevPAR growth was driven entirely by improvement in rate with increases in midweek occupancy largely offsetting a slight pullback on weekends. As we anticipated at the onset of the year, improvements in business travel continue to be the primary driver of overall growth for our portfolio. We have, however, been pleased with the resilience of leisure travel demand in many of our markets. Bolstered by recent acquisitions, top-line ADR growth, and moderating expenses, we achieved strong bottom-line performance during the quarter. Third quarter adjusted EBITDAre was $129 million and modified funds from operations was $107 million, up approximately 6% and 3% respectively compared to the third quarter of 2023. Preliminary results for October are strong and show continued growth with RevPAR up approximately 4% compared to October, 2023. Supply demand dynamics for our business continue to be favorable. At the end of the second quarter, approximately 54% of our hotels did not have any new upper upscale or upper midscale product under construction within a five mile radius. And actual rooms under construction within the same five mile radius decreased 7% year-over-year. As I have highlighted on past calls, limited supply growth in our markets materially improves the overall risk profile of our portfolio by both reducing potential downside and enhancing the upside impact from variability in lodging demand. Supported by our strong operating performance, we continue to pay an attractive dividend. Based on Friday's closing stock price, our annualized regular monthly cash distribution of $0.96 per share represents an annual yield of approximately 6.5%. Evolving market conditions over the past year have provided us with the opportunity to demonstrate our disciplined and strategic approach to capital allocation. While the overall transaction market continues to be challenging, we have seen a strengthening private market for smaller rooms focused properties and have been able to optimize our portfolio concentration within select markets through strategic dispositions. Proceeds from these sales have been used to reduce debt, fund share repurchases, and acquire hotels with stronger growth profiles and lower near-term CapEx needs. Since the beginning of 2024, we have completed the sale of three hotels, the 122-room Hampton Inn and the 126-room Homewood Suites in Rogers and the 82-room Spring Hill Suites in Greensboro for a combined sales price of approximately $41 million. In addition, we recently entered into contracts with separate parties for the sale of an additional four hotels for a total sales price of approximately $31 million, including our 90-room courtyard in Wichita, our 97-room town place suites in Knoxville, our 76-room Homewood Suites in Chattanooga, and our 117-room Hilden Garden Inn in Austin North. We expect to complete the sales of these hotels over the next several months, assuming all conditions to closing are satisfied. While pricing for the individual hotels varies, as a Group, the seven hotels will trade at a sub 7% cap rate, or 12x EBITDA multiple before CapEx, and a 5.3% cap rate, or 16 times EBITDA multiple after taking into consideration the estimated average of $30,000 per key in required capital improvements. During the quarter, under our share repurchase program, we repurchased approximately 1.4 million common shares at a weighted average market purchase price of approximately $14.02 per share for an aggregate purchase price of approximately $19 million, bringing the total shares purchased year-to-date through September to approximately 2.4 million at a weighted average market purchase price of approximately $14.16 per share for an aggregate purchase price of approximately $35 million. It is noteworthy that we've been able to purchase shares at around a 1.5 turn spread to recently disclosed dispositions before considering required property improvement plans and over a 5 turn EBITDA multiple spread after taking into consideration required capital improvements. While much of our focus over the past several months has been on share repurchases, recent acquisitions continue to contribute positively to our overall portfolio performance. The seven hotels acquired since June of last year produced an unlevered 9% yield after CapEx on a trailing 12-month basis with continued upside. Our recent acquisitions in Las Vegas and Washington, DC yielded 10.7% and 8.4%, respectively on a trailing 12-month basis through September, and the recently opened Embassy Suites in Madison is ramping well. We continue to actively underwrite additional opportunities and are well-positioned to act where we can achieve attractive yields relative to other capital allocation opportunities. We have one additional hotel under contract for purchase, a model by Hilton, which is under construction in downtown Nashville for approximately $98 million. Similar to the Embassy of Madison, the asset is being developed under a fixed price contract, and we anticipate acquiring this hotel upon completion of construction in late 2025. Since the onset of the pandemic, we have completed approximately $294 million in hotel sales, with an additional 31 million under contract and expected to close by the end of this year, and have invested a $1 billion in new acquisitions, while maintaining the strength of our balance sheet. These transactions have further enhanced our already well-positioned portfolio by lowering the average age, lifting overall portfolio performance, helping to manage near-term CapEx needs, growing the size of our platform, increasing our exposure to high growth markets and positioning us to continue to benefit from near-term economic and demographic trends. Our recent acquisition and disposition activity, along with our share issuance and repurchases, highlight our ability to adjust tactical strategy to account for changing market conditions and underscore our long and impressive track record of seizing opportunities at optimal times in the cycle to maximize total returns for our shareholders. During the first 9 months of the year, we also invested approximately $48 million in capital expenditures, and we expect to spend between $75 million and $85 million during 2024 with major renovations at approximately 20 of our hotels. These reinvestments in our portfolio are a key component of our overall strategy and ensure that our hotels remain competitive in their respective markets to further drive EBITDA growth. As we approach the end of 2024, we are confident that with our portfolio of high-quality, rooms-focused hotels broadly diversified across markets and demand generators, the strength of our brands and effectiveness of our management companies, the stability and flexibility provided by our balance sheet, and the depth and experience of our corporate team, we are exceptionally well-positioned for the future. While we do not have perfect visibility into the coming year, current fundamentals for our business are strong. Barring unanticipated macro events, we believe that operating performance should continue to improve with the greatest opportunity coming through steady growth in midweek occupancy and rate. Leisure travel has proven resilience, supporting the observed consumer shift towards experience. The past several years have provided opportunities for us to demonstrate both the strength and stability of our business and the capabilities of our team. I am confident in our ability to produce strong returns for investors over the coming years. It is now my pleasure to turn the call over to Liz for additional detail on our balance sheet, financial performance during the quarter, and annual guidance.
Liz Perkins: Thank you, Justin, and good morning. We are pleased to report another strong quarter for our portfolio of hotels, and that we were fortunate to not be adversely impacted by the recent hurricane activity and damage in the southeast. Our hotels in the path of the hurricanes had no material structural damage and remained open, serving their communities and caring for guests and associates. While our hearts go out to all those impacted, they are also warmed by the acts of service, care and hospitality that were extended by our team members and communities. For the quarter, Comparable Hotels' total revenue was $378 million for the third quarter and $1.1 billion year-to-date through September, both up approximately 2% as compared to the same periods of 2023. With continued strength and leisure demand and additional recovery in business demand, third quarter comparable hotels RevPAR was $125, up approximately 1%. ADR was $163, up more than 1%, and occupancy was 77%, essentially flat as compared to the third quarter 2023. A strong third quarter brought year-to-date through September Comparable Hotels RevPAR to $122, up more than 1%, Comparable Hotels Occupancy to 76%, up approximately 1%, and Comparable Hotels ADR to $160, up nearly 1% to the same period of 2023. Uninterrupted by holidays or calendar shift, August was our strongest month during the quarter, with year-over-year comparable hotels RevPAR growth of more than 3%. Based on preliminary results, performance in October was even stronger, with occupancy of approximately 80% and continued improvement in ADR yielding approximately 4% RevPAR growth for the month. Looking at day-over-day trends, leisure travel continues to be resilient with weekend occupancies down less than 1% during the third quarter. Weekday occupancy was down in July, driven primarily by disruption around the 4th of July holiday, but up nearly 2% in August and up slightly in September, bringing total weekday occupancy growth to 40 basis points for the quarter. With overall occupancy for the quarter essentially flat, rest part growth was driven entirely by increase in rate. Weekend ADR for the quarter was essentially flat year-over-year, while weekday ADR grew just over 1%. With July weekday ADR down slightly and August and September weekday ADR up 2.3% and 1.8%, respectively. Weekday absolute ADR continues to lag weekends, representing meaningful upside as midweek demand continues to strengthen, positioning us to move higher rates. Same-store room-night channel mix, quarter-over-quarter, remained relatively stable, with brand.com bookings at 40%, OTA bookings and Property Direct at 13% and 24% respectively, and GDS bookings representing 18% of our mix, up slightly to the second quarter. Third quarter same-store segmentation was largely consistent with the third quarter of 2023. VaR [ph] remained strong at 33%. Other discounts represented 29% of our occupancy mix. Group was 14% and the negotiated segment represented 18% of our mix. Turning to expenses, Comparable Hotels total hotel expenses increased year-over-year by 2.7% for the third quarter, decelerating from year-over-year total hotel expense growth of 3.5% in the second quarter and 4.2% in the first quarter. The deceleration was driven primarily by a reduction in fixed costs with same-store property insurance costs down 20% year-over-year in the quarter. Total payroll per occupied room for our same-store hotels was $40 for the quarter, up 5% to the third quarter 2023, with the most meaningful increases coming in sales and repairs and maintenance payroll, which were up 12% and 8% respectively, and with greater holiday disruption in the quarter adversely impacting cost per occupied room. Contract labor decreased during the quarter to 8.3% of total wages and was down 200 basis points, or 16% versus the same period in 2023. We will continue to work with our management companies to enhance the efficiency of our operations over time. We achieved Comparable Hotels Adjusted Hotel EBITDA of approximately $139 million for the quarter and $402 million year-to-date, essentially flat as compared to the same periods of 2023. We are especially pleased with our Comparable Hotels Adjusted Hotel EBITDA margin of 36.8% for the quarter and 36.7% year-to-date, down only 60 basis points and 90 basis points to the same periods of 2023, which has consistently exceeded our expectations. Adjusted EBITDAre was approximately $129 million for the quarter and $371 million year-to-date, up approximately 6% and 7% to the same periods of 2023, respectively. MFFO for the quarter was $107 million, and year-to-date was $312 million, up 3% and 6% as compared to the same periods of 2023, respectively. During the quarter, we paid distributions totaling $58 million, or $0.24 per common share. Together with our Board of Directors, we will continue to monitor our distribution rate and timing relative to the performance of our hotels and other potential uses of capital. Looking at our balance sheet, as of September 30, 2024, we had approximately $1.5 billion of total debt outstanding net of cash, approximately 3.3x our trailing 12-month with a weighted average interest rate of 4.9%. In August, we repaid in full one mortgage loan of approximately $20 million, increasing the number of unencumbered hotels in our portfolio to 210. At quarter end, our weighted average debt maturities were 3 years. We had cash on hand of approximately $6 million, availability under a revolving credit facility of approximately $540 million, and approximately 74% of our total debt outstanding was fixed or hedged. As Justin mentioned, we were active repurchasing shares in the third quarter, bringing the total shares repurchased year-to-date through September to approximately $2.4 million at a weighted average price of approximately $14.16 per share. For an aggregate purchase price is approximately $35 million. As of the end of September, we had approximately $301 million remaining under our share repurchase program. We have updated our full year outlook for 2024, narrowing and refining the range to account for performance to date, the announced dispositions and the timing of the Hotel 57 transition. At the midpoint, we are decreasing net income by $1 million, decreasing comparable hotels RevPAR change by just 12.5 basis points, increasing Comparable Hotels Adjusted Hotel EBITDA margin by 20 basis points, and decreasing adjusted EBITDAre by $1.5 million. For the full year 2024, we anticipate the results will be in the following ranges. Net income between $204 million and $221 million. Comparable hotels RevPAR change between 0.75% and 2%. Comparable Hotels adjusted Hotel EBITDA margin between 35.3% and 35.9%. And adjusted EBITDAre between $458 million and $469 million. This outlook is based on our current view and does not take into account any unanticipated developments in our business or changes in the operating environment, nor does it take into account any unannounced hotel acquisitions or dispositions. The changes reflect several puts and takes, including modest RevPAR growth results in the third quarter, continued outperformance on the bottom line related to decelerating expense growth and the positive impact of the announced dispositions on margin, and a later transition date for Hotel 57. These modifications yield less than 1% change to comparable hotels adjusted EBITDA and EBITDAre. As we near the end of 2024, we are confident we are well-positioned for continued strong operating fundamentals and bottom line performance. The operating environment is relatively stable with favorable supply and demand dynamics. Our recent capital allocation activity has enabled us to drive incremental value for shareholders, and our balance sheet continues to provide us with meaningful optionality. Our differentiated strategy has proven resilient through economic cycles, enabling us to preserve equity value in challenging environments and be uniquely positioned to improve value through opportunistic transactions when market conditions are more constructive. Our team works diligently to maximize the performance of our existing portfolio while staying ready to take advantage of market shifts and opportunities to further enhance returns for shareholders. That concludes our prepared remarks. We would now be happy to answer any questions you have for us this morning.
Operator: Thank you. [Operator Instructions] The first question is from Dori Kesten from Wells Fargo. Please go ahead.
Dori Kesten: Thanks. Good morning. You highlighted a disconnect between business transient and leisure rates from their historic trends. Can you give us an update on where that spread is now, I guess, versus history, and then where you believe that trend line is going.
Liz Perkins: The gap continues to shrink both as a combination of a slight pullback in weekend rates, as we've mentioned, but more so as we start to see weekday continue to improve. Relative to 2019, year-to-date, our weekday ADR is up about 6% and that's, shoulder nights included, but up about 6%. And then weekend, still relative to 2019, is up about 18. So you can see that there's still a meaningful gap there to capitalize on as we move forward and continue to see business transient improve.
Dori Kesten: Okay. And then with October RevPAR up 4%, I guess what's been assumed for November and December to get to the Q4 midpoint? We're just trying to figure out the swing between your assumptions around the election versus holiday travel. When we look at November and our booking position, certainly we expect a softer week this week as people get out and vote. But as we look ahead at the rest of the month, we are seeing positive booking trends for November. So overall for November, not quite as much as we are projecting in December. But still for both November and December at this point, based on booking position and current trends, projecting some RevPAR growth.
Dori Kesten: Okay. And then just last question how would you expect How would you expect 2025 expense growth to compare to what's implied in your current '24 guidance?
Justin Knight: We're still super early in the process of budgeting with our management companies. That said, I think absent a meaningful change in the environment, our sense is that current trends are likely to continue into the coming year.
Dori Kesten: Okay. Thank you.
Justin Knight: Thank you.
Liz Perkins: Thanks, Dori.
Operator: The next question is from Austin Wurschmidt from KeyBanc Capital Markets. Please go ahead.
Austin Wurschmidt: Hey, good morning, everybody. So, Justin, you highlighted it towards the end of your prepared remarks that operating performance should continue to improve. I guess, what are you most excited about turning the calendar into 2025, and what do you think changes, heading into next year that could look different, I guess, than how this year's played out?
Justin Knight: Similar to what I said in my prepared remarks, I think we continue to be pleased with the resilience of leisure travel. I think looking across our portfolio, certainly performance varies by market, and we have seen pullback in some markets, but overall the trend has continued to be favorable. And with that as a backdrop, we continue to build occupancy midweek, which positions us to continue to grow rates. We're in a better position than we have been to begin to mix manage in ways that will more dramatically move rate midweek. And I think when we think about a bulk [ph] case for the coming year, it continues to be really business travel related with continued return to office, continued improvements in demand, matched with, as I highlighted, a really favorable supply outlook positioning us to really take advantage of incremental growth on the demand side.
Austin Wurschmidt: You've talked a lot about the mix manage opportunity, midweek. I guess, how far away are you from an occupancy perspective to really being able to press the lever, I guess, on mix managing and really getting kind of rate growth, moving more meaningfully higher?
Justin Knight: It's interesting as we look at blend -- blended midweek occupancy across months. Part of the challenge we've had has been around holidays and more meaningful disruption around holidays. When we control for those and work solely at weeks that are unaffected by major holidays or calendar shaft, we are getting there in terms on building to more meaningfully move rate. I think as we turn the corner [ph] into next year, assuming things continue as we've seen them as we round up this year. Our expectation is that we're in a position now from an occupancy standpoint to beget [ph] more meaningfully move the needle in that area.
Liz Perkins: And, Austin, you saw a little bit of that as we moved from sort of the occupancy ADR dynamic in Q2 to Q3. I think that our team really looked back at our mix between occupancy and rate growth in Q2 and really refocused around where we had some mix management opportunity and started to capitalize on that. And I think continuing to focus there and drive and build off of that momentum, we should be able to continue to mix manage based on occupancy levels moving forward as well.
Austin Wurschmidt: That's helpful. And then just last one. Just -- I guess, just if we do kind of remain in this little slower RevPAR growth environment, maybe with mix directions, I guess, on the direction of the economy, is the decision to repurchase additional shares, is that just predicated on the ability to sell some of this slower growth, non-core assets at an attractive spread to where the stock's trading? Like, can you kind of just walk us through the latest thinking on buybacks and to the extent the environment remains very similar heading into next year?
Justin Knight: Certainly. I think I highlighted in my prepared remarks, we've been very pleased with our ability to positively execute on the trade between asset sales and share acquisitions. I think looking back across the quarter, certainly we're protective of our balance sheet and are positioning there, an ability to create liquidity through asset sales and to redeploy into share repurchases, especially given how we've traded recently, continues to be attractive to us. Certainly we look to optimize the redeployment of that capital and are continually in market looking at potential acquisitions opportunities as well. And then I highlighted in my prepared remarks the really strong performance of recent acquisitions and we'll continue to look at both and deploy capital where we have confidence we can create the highest returns.
Austin Wurschmidt: Great. Thank you.
Operator: The next question is from Tyler Batory from Oppenheimer & Company. Please go ahead.
Tyler Batory: Yes, thanks. Tyler Batory here. Good morning, everyone. So I just want to follow-up on the midweek and mix discussion. That was something that's important that a lot of investors are focused on. Can you give a little bit more numbers around how much room there is for occupancy growth midweek. I'm not sure if you can talk about kind of where you are now versus where you were pre-COVID or where you'd ideally really, really like to be. And there's definitely a mix shift here where occupancy is growing midweek. It's offsetting some weakness, it sounds like, on the weekend. Do you think that continues going forward in terms of that mix shift and what are the implications there as occupancy is moving around a little bit in terms of your ADR?
Liz Perkins: A couple of questions there. I'll start with the opportunity, midweek or our peak travel day is Monday through Wednesday relative to 2019. Depending on the day, we still, year-to-date, looking through October, we still have anywhere from 300 to 750 basis points of opportunity or percent in opportunity. So still some room on the occupancy side. I think that there has been a mix shift and we've seen it as we have continued to rebuild business transient occupancy midweek and trading that from a higher rated leisure traveler. And I think when you look at our rolled up results, that's put some pressure on our ADR growth. That said, as I mentioned a little bit earlier in response to Austin's question, we are starting to gain some traction where we have the higher occupancy levels and really ensuring that we're pricing based business appropriately and looking at where we can drive incremental rates. So we're starting to see some benefit there. And so I think that the sort of negative mix shift impact will continue to decline over time.
Tyler Batory: Okay. Okay. Thank you. And then a market-specific question on Nashville. It's one of the software markets for you in the quarter, I think a software market year-to-date. You have the underdevelopment assets that's going to be coming online later in 2025. I know there's a decent amount of supply in Nashville. Just talk about your perspective on that market, how you're underwriting, how you're thinking about that pending acquisition as well.
Justin Knight: We continue to be very positive on the new development for a couple of reasons. One, I think our view on Nashville continues to be positive. Certainly the market has been absorbing a bit of new supply recently. Looking at performance during the quarter, there were also -- there was also a slightly weaker event calendar that played into that performance during the quarter. Over time, the dynamics of the market continue to be favorable and beyond that as we continue to see performance of Motto as they open, we continue to feel really good about our underwriting for that asset specifically and for that brand.
Liz Perkins: And part of our year-to-date and quarter-to-date performance in Nashville is also driven by our suburb concentration in Franklin that had some group business year-over-year. So I think in the pocket where we're developing the Motto, certainly from a demand perspective, we continue to feel optimistic there. And we've had some sales turnover this year in the Nashville market. So I think there's some upside there as we sort of get our footing back from a sales representation standpoint.
Tyler Batory: Very helpful. That's all for me. Thank you.
Justin Knight: Thank you.
Operator: The next question is from Jay Kornreich from Wedbush Securities. Please go ahead.
Jay Kornreich: Hi. Thank you. Good morning. Can you talk about what you're seeing in the overall transaction marketplace, I guess, with the volatility and interest rates? Has it slowed down or are there opportunities still coming up that you're assessing? And I guess just based on where your stock is trading and funding considerations, how do you think about your current interest in acquisitions?
Justin Knight: It's interesting. Certainly, there has been some volatility in the debt markets recently. We continue to be very active in underwriting deals. So in terms of total deals available and the volume there, there are ample opportunities for us to proceed should the fundamentals of our business and our cost of capital allow for it. That said, sellers continue to be reluctant to adjust pricing for assets. And as we've demonstrated over the past several months, that's made our shares more attractive on a relative basis. I think looking at the total transaction market, there continue to be fewer transactions than we would ordinarily anticipate in a market like this. And the bulk of the activity we've seen has been around smaller, lower total purchase price assets, where in our experience, we've been able to create more of a competitive bidding environment, especially with local owner-operators. Zooming out, there continues to be significant interest in the space, but the bid-ask spread is wide. And I think absent a meaningful shift in operating performance for the assets and/or cost to capital for the potential buyers, we'll continue to see lower transaction volume through the end of the year.
Jay Kornreich: All right. Thank you for that. And then just one follow-up. [Indiscernible] wanted to ask about the group component of your business, which I recognize is only 14% demand. I'm curious if you're seeing any changes with that segment, and if you have any read into how bookings are looking for next year relative to this time last year.
Liz Perkins: It's a good question. Our group acts a little bit differently than I think the industry at large talks about it from a larger group convention standpoint. We don't typically see our group book as far out, so we don't have a clear picture as to how that looks today versus same time last year for next year. We just don't see that much booking ahead of time. It's a shorter booking window. That said, our group business has consistently performed well. Since the onset of the pandemic, our percentage of group really hasn't fluctuated much. And so I think we have no reason to believe, based on both current trends and what we've seen over the past couple years, we have no reason to believe that it wouldn't continue to be strong and tends to be a mix between both small corporate group and [indiscernible] or leisure-oriented group.
Jay Kornreich: Okay. Appreciate it. That's it for me.
Justin Knight: Thank you.
Operator: The next question is from Michael Bellisario from Baird. Please go ahead.
Michael Bellisario: Thanks. Good morning, everyone.
Justin Knight: Good morning.
Michael Bellisario: I just want to go back to the topic for Liz, just on the booking window and some of your visibility. You maybe unpack all the calendar shifts in 3Q, 4Q, which way is the booking window moving? And then are you seeing any change in cancellations or rebooking activity occur?
Liz Perkins: A lot of good questions there. I'd say if you strip back some of the calendar shifts, I think average daily bookings remain positive. So, we certainly remain encouraged by that. From a booking pattern perspective, we have seen a slight shift as you've seen, some occupancy trade from leisure to business transient, come from more shorter term bookings, but even our leisure typically is shorter -- relatively shorter term, meaning most still comes in the month for the month. And so it might impact in the week -- for the week bookings with business transient, but nothing material. Beyond that, from a cancellation rate perspective, it's a little bit noisy with the storms in September. We certainly probably had some impact from short-term cancellations in September, but overall as we monitor cancellations throughout the year, no material change in cancellation rate either.
Michael Bellisario: Got it. That's helpful. And then along the same lines, just with the shorter booking window today, how does that affect staffing and planning at the hotel operational level? And is that shorter booking window impacting the wage growth rate at all?
Liz Perkins: It's a good question. I think I mentioned it quickly in my prepared remarks, I do think that as we looked at payroll per occupied room for the third quarter, there was some opportunity with sort of changes in near-term bookings on a cost per occupied room basis, meaning we have to stay on top of scheduling relative to forecasting. And so, that's something our team works with the management companies closely on is evaluating booking position relative to their internal forecast to try to make sure we're flexing where appropriate and we're staffed where appropriate. And so, as things shift, there's additional dynamics that play that the teams need to adjust for. And I think having an incremental week impacted by 4th of July, maybe slightly more impact around Labor Day and then some of the shifts with potential cancellations around the hurricanes and storms, I do think that that impacted our Q3 numbers slightly.
Michael Bellisario: Understood. And then just last one for me for Justin on capital allocation. Turn the clock back a year ago, you were pretty aggressive on the buy side, acquisition-wise, when the stock was higher. Maybe push you a little bit here on the flip side. Why not be more aggressive on the sell side? I know you're selling four hotels, but smaller dollars. And if you can capture a turn and a half spread, which I think is wider than the spread you captured on the buy side, maybe why not move more aggressively on the sell side with assets? Thank you.
Justin Knight: I think that's a great question. And I'll say two things. One, we're not buying exactly the same thing. So while I've been clear about our going in cap rates on the acquisitions and our recent performance, certainly our expectations are that these acquisitions will have stronger growth rates than our portfolio average. But then on the flip side, the reality is that the market has really only recently opened in a way that has enabled us to dispose of assets in a meaningful way. And I think to the extent it stays open, as it recently has been, you'll see us be much more aggressive selling assets and redeploying capital. I think -- and we've highlighted this several times. Our intent is to maintain the strength of our balance sheet. And so we're mindful of how and when we deploy capital and the incremental risk and required returns as we increase the overall leverage in an environment where we can trade -- make a trade of assets at a spread to the investment, that's an easy trade for us to make. And I think moves the needle over time in terms of total returns we're able to provide shareholders.
Michael Bellisario: And then just one follow-up there. Any portfolio premium emerging on the sell side, or is it still all ones and twos in terms of best execution?
Justin Knight: Yes, at this point, there's still not a portfolio premium to be had. I highlighted in response to one of the earlier questions and somewhat of my prepared remarks, where we're able to create the most competitive buying environment is with local owner operators. And really that's around individual assets or a pair of assets that are co-located. I think for the foreseeable future, we anticipate that to be the case, but certainly I think have demonstrated our ability to pivot and make adjustments to our tactical strategy in response to changing market conditions.
Michael Bellisario: All helpful. Thank you.
Justin Knight: Thank you.
Liz Perkins: Thanks, Mike.
Operator: The next question is from Chris Darling from Green Street. Please go ahead.
Chris Darling: Thanks. Good morning. Justin, is there any update you can provide on the land parcel you have out in Vegas? And to the extent you're interested in developing, is that something you would consider pursuing on balance sheet or would you more likely structure a deal maybe with a partner of some sort?
Justin Knight: So we continue to explore the opportunity there and I've had extensive conversations with brands around opportunities as well as with a potential developer. I hope that in the near-term we'll have an announcement to make there. I think it's worth highlighting that underwriting new construction, even in an environment where we own land, can be challenging. And I think in response to the second part of your question, while we are not adamantly opposed to construction on balance sheet, we do have a strong preference to develop as we have done to date through fixed price contracts with third-party developers. And we're fortunate to have worked with a number of groups who have capacity to perform in a market like Vegas and deliver at attractive pricing quality products. So that continues to be the most likely direction for that particular development.
Chris Darling: Okay. That's helpful. And then maybe to the latter half of your answer there, I'd be curious just on the development front in terms of some of those takeout transactions that you've structured. What does the pipeline look like today and would we potentially expect to see you enter more of those contracts over the next months and quarters?
Justin Knight: So we are -- we continue to be active in looking at a little bit less than a handful of potential developments that would be attractive to us, potentially, the reality is, and I highlighted in my prepared remarks, and it's worth repeating, supply in our markets continues to be muted. With 54% of our markets not having any new supply under construction, and a meaningful reduction in rooms under construction across our portfolio. The primary reason for that is that it's difficult, given the meaningful increase in construction costs, to include increased construction finance costs to pencil deals. And I think that has limited our focus at higher RevPAR markets, where we can justify the higher construction costs and still achieve our return thresholds. Vegas happens to be a market where we have now first-hand experience with the Spring Hill Suites, and a market that continues to perform very well and one in which I think over time we would like to increase our exposure. There are a handful [indiscernible] markets that we feel similarly bullish about in terms of the opportunity to enter with newly constructed assets. But by and large, I think you will continue to see our focus where we have a cost of capital to justify acquisitions being around existing assets. I think we’ve demonstrated an ability to transact in ways that generate attractive returns for investors in that area. Certainly have, I believe, unparalleled capacity from a renovation standpoint, which really broadens the scope of what we can look at. I think a significant portion of our forward pipeline over the next several years will continue to be existing assets.
Chris Darling: All right. I appreciate the time. That's all for me.
Justin Knight: Absolutely.
Operator: [Operator Instructions] The next question is from Floris van Dijkum from CompassPoint. Please go ahead.
Ken Billingsley: Hi. Good morning. It's Ken Billingsley for Floris. Just expense questions. Your CapEx is listed at $75.85 for the year, so that leaves quite a bit in the fourth quarter given where we are. My question is, A, how much is left to do, and is some of that going to get pushed into $25, and are you looking for the same type of CapEx budget for next year?
Liz Perkins: Good question. As we sit here today, we're in a similar position that we typically are in as we go into the fourth quarter from a total spend to anticipated spend perspective. Most of our renovations begin in the fourth quarter, some of which can fall over into the first quarter of the following year, so the shift [ph] for '25. But no reason and we didn't update our full year guide as we do anticipate that we will be spending quite a bit relative to our renovations that are beginning now as we finish out the year. As we look at 2025, it's still early, as Justin mentioned, related to another expense question. We're in the midst of budgeting for next year, both from a property-level perspective, but also CapEx perspective. Though, if things continue much as they are, we would anticipate our typical run rate of CapEx, barring any changes.
Ken Billingsley: Okay. And then a question on the insurance, given you said it was down 20% given where those have been priced over the last year or so. Can you talk about like what may be bringing that down and it's something unique in your mixer portfolio?
Liz Perkins: Relative to the renewal that we had in April, we did restructure the program a little bit trying to drive incremental capacity and that did yield some rate reductions year-over-year, which were favorable. Also in the quarter, we had a tougher, or I guess I should say an easier comp year-over-year related to uninsured loss expense. So premiums were down meaningfully in the quarter and have been since April. That said, we also have had good loss experience this year. So it's a combination of both.
Ken Billingsley: Great, thank you.
Operator: This concludes the question-and-answer session. I would like to turn the floor back over to Justin Knight for closing comments.
Justin Knight: We appreciate you making time for us this morning. If you haven't done so already, we would encourage you to get out and vote. And as always, as you travel, please take the opportunity to stay with us at one of our hotels. We look forward to speaking with many of you at the upcoming conference in Vegas in a few weeks and hope you have a wonderful day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.